Operator: Good day, ladies and gentlemen. And welcome to the MoSys’ Second Quarter 2014 Financial Results Conference Call. My name is Meena, and I'll be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would like to turn the call over to Beverly Twing of Shelton Group, Investor Relations. Beverly, please go ahead.
Beverly Twing: Thank you, Meena, and good morning, everybody. Joining me today on today's call are Len Perham, MoSys' President and Chief Executive Officer; and Jim Sullivan, Chief Financial Officer. Before we begin today's discussion, I would like to remind everyone that this conference call will contain forward-looking statements based on certain assumptions and expectations of future events that are subject to risks and uncertainties. Such statements are made in reliance upon the Safe Harbor provisions of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934, which include, but are not limited to, benefits and performance expected from the use of the company's embedded memory and interface technologies and integrated circuits; expectations concerning the company's execution and results; expected benefits of the company's ICs, product development, achievement of IC design wins and timing of shipments of the company's ICs; predictions concerning the growth of the company's business and future markets; and business prospects, strategies, objectives, expectations or beliefs. Forward-looking statements made during this call are subject to risks and uncertainties that could cause actual results to differ materially from those projected. Additional information concerning factors that could cause actual results to differ materially from any forward-looking statements made during this call are contained in the company's most recent reports on Form 10-K and Form 10-Q filed with the Securities and Exchange Commission, in particular in the section titled Risk Factors, and in other reports that the company files from time to time with the Securities and Exchange Commission. MoSys undertakes no obligation to publicly update any forward-looking statement for any reason, except as required by law, even as new information becomes available or other events occur in the future. Thank you for your attention. I will now turn the call over to Len Perham, Chief Executive Officer of MoSys. Go ahead please, Len.
Len Perham: Thank you, Bev. Good morning, everyone. I'll begin today's call with a few highlights, and then provide more details on our second quarter. I will then turn the call over to Jim for review of our second quarter financial results prior to opening the call to your questions. We are tracking more opportunities for both Bandwidth Engine family of products and the LineSpeed family, now than we were at this point last quarter, with solid activity worldwide. We won multiple new design wins in the second quarter. Although, it’s not a strong as we had anticipated. There were few design win opportunities in the some sales funnel that we expected to finalize but didn’t. However, I suspect we are going to close those in the third quarter or the fourth quarter for sure. At this point in the year, we continue to believe we should approximately double design win year-over-year. IC sales were up significantly in the second over the first for both Bandwidth Engine 1 and 2. As a result, we shipped more IC devices in the first half of 2014 than in all of 2013. However, it is important to note, we have still not seen our earliest customers make full releases to production, that is, we have not seen the inflection point as I call it, which is one way of saying that our customer is moving or has moved from engineering oversight into full production with its end carrier or service provider customers. Until we experience that we will not see predictable volumes quarter-over-quarter, nor we see the large deltas period-to-period that will take us more strictly toward profitability. There are several points that can be made regarding these early design win customers. First, the customer seems to be in good shape as far as the equipment is concerned and as far as we know they have no outstanding issues. Two, implications in some cases are that that the systems have been deployed to end customers and system level evaluations and qualifications are now in progress. Three, regardless as mentioned above we have not seen the full manufacturing releases yet for our higher volume design win. Fourth, until we see this full release, we will not appreciate the full impact in volume requirements on the period-by-period basis. And finally, fifth, once the design is completed by a customer. It is not much that MoSys continue to accelerate the process at least for the most part nearly 100% beyond our influence. During the quarter, we made progress setting the stage to drive cost out of our back-end manufacturing close. We were successful in negotiating and implementing new hourly rates for the use of the testing and to burn an equipment we utilize at our subcontractors, and we are pushing to do parallel testing, which will substantially increase the unit per hour supper rates of our products. As mentioned last quarter, the impact of these gains will not be noticeable until in the fourth quarter, because the volumes are still relatively low. However, we are moving in the right direction. These changes will be implemented initially on BE1 and then on BE2. Additionally, we anticipate simplifying the manufacturing flow over the next few quarters to further reduce costs and shorten manufacturing two time run rates, consequently allowing margins to further increase. In regards, the Bandwidth Engine 2 family, as mentioned on last quarter’s call, BE2 is now fully carrier grade certified and cost reduction plans are currently being implemented with the intend to reduce these unit cost and increase margins as fast as possible. You might recall that our second wave of design win with our Tier 1 customer were BE2 based and we anticipate this customer will be releasing systems to production later this year. Looking at the type of opportunities that BE is competing for today, it appears that working in conjunction with 28-nanometer FPGA BE2 is very suitable for 100-gigabit per second systems and working with the now emerging 20, excuse me, and working with now emerging 20-nanometer families of FPGA is ideally suited for 200-gigabit and beyond performance levels in next-generation systems. We believe the window of opportunity for BE2 and applications of this nature is just now opening up. Turning to the Bandwidth Engine 3 family, Bandwidth Engine 3 is currently well under chip level verification and timing closure. However, the magnitude of this activity is such that tape out may well push out into the fourth quarter and may not quite get into this quarter. As you may recall, MoSys strategic plan for Bandwidth Engine products has been from the beginning to first solve bandwidth efficiency problems the industry is struggling with via the use of our internally developed and patented GigaChip Interface. Second, to solve data processing memory access time challenges by developing a unique chip architecture, which is not only very fast but also extraordinarily low latency. We accomplish this on BE1 and substantially improved on BE2. And finally, we intend to build more and more intelligence in each generation of networking memory that is Bandwidth Engine. BE1 solve bandwidth efficiency issues and support access rates up to 100-gig. While BE2 can manage the access requirements up to 200-gig and a little bit higher, and offers the customer a fair number of hardwired intelligent offload choices, whereby he can reduce the load on it is extensive SoC or high-end FPGA. BE3 can handle access rate support up to 400-gigabit per second system performance levels and offers the customer a programmable intelligent offload feature. The customer now has the opportunity to offload in the packet processor engine task that he realizes will slow it down and could be a better accomplish elsewhere then have very expensive SoC or as I mentioned before, high-end FEGA. Let me reiterate that BE2 is much high performance version of BE1, offers high -- offers hardwired intelligent offload and its substantially lower cost than BE1 because of its design utilizing in more advanced process node. That said, BE2 can and will obsolete BE1. However, it will not obsolete BE3. BE2 and BE3 serves substantially different purposes in the system and we expect them -- we expect to see them share space on the same line card in many applications. As the matter of fact we’ve already seen few schematics that illustrate that both BE2 and BE3 are on the same line cards. We’ve not declared these as wins yet, they are looking down the roadways at higher performance systems but it’s very encouraging to see people doing this. While all of our BE progress is certainly exciting in its own right, we’ve made great progress on our 100-gig LineSpeed product families as well. If you recall, we have mentioned now and then that we might take out a few high performance LineSpeed elements in the first half of 2004 that had a potential to set new benchmarks. Well, we have one. In the next few days we will be delivering reference boards to a number of the top tier potential customers. We’ll soon to be announce LineSpeed solution that appears to provide a unique combination of features at performance level not previously demonstrated. I can -- I cannot say much more than that today since the product hasn’t been announced yet. However, I am hopeful to announce designs with one or more top tier customers in the second half of this year. As of this call, we are well under characterization and the product is looking very good. We will be pushing hard to get this product to final characterization, to deal with any troublesome bugs that need repairing and win orders for shipment starting in the second half of 2015 and then ramping into some decent volume 2016 and beyond. This is an exciting opportunity for the company and we are moving quickly as possible to capture it. We’re continuing additional development for our LineSpeed product family, targeting the volume commercialization of 100-gig platforms and high-speed service technology, targeting volume customer designs in late 2014 and 2015. I’m sorry, targeting volume customer designs in late 2014 and 2015. The capability of the LineSpeed product family is significant and we’re very excited about it prospects and the market it serves. In closing, let me make a few comments regarding our recently announced alternate sourcing arrangement with GSI. We are very pleased to have entered into this technology partnership. As it is a significant milestone for MoSys. It provides our customers and potential customers the comfort of having multiple sources of supply for key differentiated components. It also provides the opportunity to collaborate on future products, critical to the fast-moving advancements we are seeing in the network infrastructure. Furthermore, this dual-sourcing relationship should allow both companies to grow their served available markets. As we’ve mentioned on pervious calls, our goal was to engage with a partner who could provide an alternative supply, a partner that also complements our business objectives and our markets strategies. With GSI, we have shared a goal to expand market opportunities and the joint commitment to maximize the potential benefits of this partnership to both companies and as well to our customers. Customer feedback and our choices of partner has been very favorable, as GSI is respected key vendor to some of the largest network and equipment manufacturers. We believe this dual-sourcing relationship will also in certain cases get customers over the hump and make them more willing to do business with MoSys, even though we’re still a small and relatively unknown new IC provider. Currently, we have embarked on cross-training at the engineering and at the marketing levels. MoSys intents to ultimately source the GSI SigmaQuad IVe family and GSI is planning to alternately source both BE2 and BE3. We believe this partnership will also unable us to leverage GSI’s more established and broader based customer list for at yet untapped market opportunities and will open a door for MoSys to approach at yet untapped potential customers. We have also initiated joint session with the number of potential customers which demonstrate that our efforts to collaborate and support each other have already borne fruit. During these joint presentations, the discussions included not just current opportunities, but also an opportunity to discussed product that could be developed -- co-developed utilizing technology that reside in one of the other of our libraries and to serve the future system challenges confronting our shared customers. We are very pleased to have GSI on board in such a key partnership role and we look forward to this being a very successful long-term partnership. In summary, during the second quarter we continued to make measurable progress in several areas. We secured additional design wins, increase unit shipments and revenue sequentially. We also made further progress on new development for both Bandwidth Engine and the LineSpeed families, and we achieved the major milestone by establishing a dual-sourcing and technology partnership with GSI. As industry transition to 100 G -- 100-gig and higher system level performance, interest and momentum for our Bandwidth Engine and LineSpeed product families should continue to grow. Remember that while we are -- while we here that most of us have been talking about the transition to 100-gig and higher system level performance for several quarters, we are still very early in that transition and 100-gig and higher perform systems are still in the minority. However, we do expect to transition to continue to accelerate. We are well-positioned to capitalize on these favorable market trends and remain focused on doubling our design wins over last year, bring down manufacturing costs on the Bandwidth Engine family of products and working with our customers as they ramp to production volumes, which will drive our future revenue and enable us to get to a cash flow positive state and drive our shareholders value. It’s for certain that we’re pushing very hard right now to finalize both BE3 and our next-generation LineSpeed product families, because there are substantial opportunities for them in today’s market. However, once these products are verified is being robust and ready for -- ready to go in the market, we will be taking a very hard look at how our revenue ramp is progressing and we will take all necessary steps to bring cost down to a more reasonable or most reasonable level. This concludes my prepared remarks, so I’ll turn this call over to Jim for a review of the second quarter financials. Jim?
Jim Sullivan: Thank you, Len, and good morning, everyone. During the course of my comments, I will make several references to non-GAAP numbers. Unless otherwise indicated, each reference will be in a -- to an amount that excludes stock-based compensation expense and intangible asset amortization. These non-GAAP financial measures and the reconciliation of the differences between them and comparable GAAP measures are presented in our press release and related current report on Form 8-K, which was filed with the Securities and Exchange Commission today and can be found at the Investor Relations section of our website. As a remainder, starting last quarter, we began reporting our IC product revenue separately from our IP licensing and royalty revenue, which has now being reported as a combined amount, prior period amounts have been reclassified to conform to this presentation. Now let's review our second quarter financial results. Total revenue was $1.8 million, compared with $1.3 million in the first quarter of 2014 and $1.1 million in the second quarter of 2013. Product revenue from the sale of our integrated circuits was $1 million in the second quarter of 2014, compared with $0.6 million in the previous quarter, reflect the increased shipments of our IC products. Second quarter 2014 product revenue reflects a $0.17 million of revenue recognition and the reversal of sales reserves recorded in prior periods. Royalty and other revenue for the second quarter of 2014 was $0.8 million, consisting with the first quarter of 2014. Royalty and other revenues, primarily comprised of royalties received from semiconductor customers, whose products include our IP, as well as small amounts of revenue generated for maintenance and support services related to legacy IP license agreements. GAAP gross margin for the second quarter of 2014 was 42%, compared with 57% to the prior quarter and 93% in a year ago quarter. The sequential and year-over-year decrease in gross margin was primarily due to increased IC sales, which carry lower gross margins and royalty and other revenues. In terms of our operating expenses for the second quarter, total operating expenses on a GAAP basis for the second quarter of 2014 were $7.9 million, compared with $8.9 million in the previous quarter and $7.4 million in the second quarter of 2013. Total operating expenses included $0.3 million for amortization of intangible assets and $1 million in stock-based compensation expense. The sequential decrease in operating expenses was primarily due to lower stock-based compensation expense, decreased engineering cost associated with the development of the new products and lower professional services fees. Research and development expenses were $6.4 million, compared with $7.1 million in the previous quarter and $6 million in the second quarter of 2013. Selling, general and administrative expenses were $1.5 million compared with $1.8 million in the previous quarter and $1.5 million in the year ago period. On a non-GAAP basis, total operating expenses for the second quarter of 2014 was $6.6 million, compared with $7.1 million in the previous quarter and $6.2 million in the year ago period. On a GAAP basis, net loss for the second quarter of 2014 was $7.2 million or $0.14 per share compared with the net loss of $8.1 million or $0.16 per share in the prior quarter and a net loss of $6.4 million of $0.15 per share for the second quarter of 2013. On a non-GAAP basis, net loss for the second quarter was $5.9 million or $0.12 per share which excluded intangible assets amortization and stock-based compensation expenses totaling $1.3 million, compared with a non-GAAP net loss of $6.3 million or $0.13 per share in the previous quarter and a loss of $5.2 million or $0.12 per share in the year ago period. Net loss per share for the second quarter of 2014 on a GAAP and non-GAAP basis was computed using approximately 49.5 million weighted average shares outstanding. Now turning to the balance sheet. As of June 30, 2014, our cash and investments balance was $40.1 million compared with $45.7 million as of March 31, 2014. Total headcount was 114 employees compared with 111 employees in the previous quarter. Of our total employee count, more than 80% are in applications, engineering and research and development including 25 located in India, consistent with the previous quarter. As of June 30th, we had 49.6 million in total shares outstanding. This concludes my prepared remarks. At this time, we would like to open the call for question-and-answer session. Operator?
Operator: (Operator Instructions) Thank you. We have a question. Your first question comes from the line of Gary Mobley from Benchmark. Please go ahead sir. Your line is open.
Gary Mobley - Benchmark: Hi guys. Can you hear me okay?
Len Perham: Absolutely Gary. Good morning.
Gary Mobley - Benchmark: All right. Thanks. I had a question about your long-term gross margin outlook on the product side. I appreciate the comments, Len, on how you are trying to fine tune the supply chain at the backend that once Bandwidth Engine 2 starts to ship and once you get all these supply chain inefficiencies out of the system. Do you anticipate having product gross margins somewhere in the neighborhood of 55% to 60%. Is that -- I believe this is the target you’ve talked about recently is that what you’ve in mind?
Len Perham: Yeah. That is correct. The Bandwidth Engine family brings a lot of value to the systems -- to the customer’s system design and architecture. And there is no reason to think this in the 60% plus gross margin product family. And thought the learning curve on pricing is a bit steeper, I would expect that the LineSpeed are going to enjoy very strong margins as well.
Gary Mobley - Benchmark: Okay. You mentioned that closure of design wins in the second quarter was a little sluggish. Should I take that to mean that you were unable to secure that second tier 1 OEM as a customer of Bandwidth Engine 2?
Len Perham: We didn’t announce the new tier 1 customer this morning. But the comment I made was more related to the fact on last quarter I -- we had a pretty strong quarter in terms of bookings and/or design wins if you will. And I made a comment on that call that the second quarter was going to be on an equal footing or I implied that and I said it was making the point that we lost a couple of things in the sales funnel this quarter that didn’t get across. And I just wanted to fully continue a spread if you will from last quarter to this quarter. I wasn’t really addressing anything about tier 1.
Gary Mobley - Benchmark: Okay. And with respect to the developments of some of the new products of the LineSpeed, just as a point of clarification. The tape-out of Bandwidth Engine 3 is that one quarter delay and with respect to LineSpeed that you mentioned -- as a point of clarification. Did you mention that you anticipate revenue from that product group to ramp in the second half of 2015 and that’s it for me? Thank you.
Len Perham: Actually, yeah, we’ve been targeting the third quarter for Bandwidth Engine 3 tape-out and -- but if I went all the way back to the beginning of time, I think I was probably talking about the leading edge of second quarter and for various reasons, some of which have to do with the change in features or feedback from customers or the usual stuff. I would say it’s moved from over its lifetime of getting design from the beginning of the second quarter to now we’re looking probably into the first half of the fourth quarter to me to be conservatively safe. I think that is reason to be conservative. And Gary, if you can come back online and -- regarding LineSpeed, please restate that?
Gary Mobley - Benchmark: Sure. Did you mention that you anticipate revenue ramping for LinesSpeed in the second half of 2015?
Len Perham: Yes, actually I was making mention of the fact that product that we were doing around here in SCOM port mode has come out and it demonstrated some performance levels as I called it not previously demonstrated. And I think that we’re going to have reference votes out to half a dozen more places now this week or the next few days. And interestingly, they are almost all tier 1 type people. And we should -- we won’t take as long for that kind of a product to ramp up as band retention where you have to accommodate a serial IO and some new chip architecture if you will. So I think it’s possible that we could see the beginning of revenue in 2015 in a few cases. But I want to make the point that it will be the second half of ‘15 and it would -- then we would see something fairly significant going into ‘16 and beyond. So yes, it should be a bit of revenue in ‘15 but as everything is hard to project how late in the -- second half it will be and -- but we should get a little there. That was what -- point I was trying to make.
Gary Mobley - Benchmark: All right. Very clear. Thank you guys.
Operator: Thank you, sir. Your next question comes from the line of Krishna Shankar from ROTH Capital. Please go ahead. Your line is open.
Krishna Shankar - ROTH Capital: Yes, Len, regarding the limited visibility on the product revenue ramp currently. Is all of that due to Bandwidth Engine 1 and your customer is not giving you follow-on production orders and significant volume or do you see any potential delays in Bandwidth Engine 2 revenues also?
Len Perham: Actually, the first product should give release to the -- into full manufacturing at our customers, customer if you will, would be the Bandwidth Engine 1 products that we won early, I’m going to say last half of 2012 in Asia. And I think that -- I think that what we have is in some cases now the end customer is having -- has done field deployment in trials. I forgot the exact term they use to describe that. But they have -- our customer systems are running here and there in field deployments. And they do that for a while and I guess, they look, for some kind of a PPM, part per million failure rate to make sure the system is running well sitting in a real world environment. And that stuff is going on now and it’s an area we’re not too familiar with and we get limited visibility. And so we don’t know when it ends. We don’t think our customers have any reason to think that their products aren’t going to be successful. We don’t think they’ve lost the business because they are all working on contracts. It’s just taking a bit -- it's just sometimes a bit strange to us. We -- again we haven’t been that close to that in the past. They don’t think. At least I haven’t. The second generation of products that we won which were likely in mid 2013 is something the second round of design wins came out of the tier 1 company that were very close to. And they were doing BE2 across the number of different line cards and EDGE routers. And I think that’s still moving along reasonably well. It was three different projects and a couple of them are moving on schedule. One of them may have been slowed up a little but at this point in time, we’ve limited visibility. Those are all motoring along. And I think if I didn’t say so, we expect to start seeing something in the way of a move from field deployment if you will and trials with their end user to some volume -- indication of volume increases in -- last quarter of this year. And at least that’s what we think they are projecting right now and then increasing more in 2015.
Krishna Shankar - ROTH Capital: Great. And then on the LineSpeed product line you mentioned some unique superior performance attribute, is this related to short reach or long reach applications. Can you talk a little bit about the potential applications for your new LineSpeed product?
Len Perham: Yeah, actually, when you talked about the LineSpeed products that we have today, you’re really talking about a couple of things. And they are -- you want to build the transmitter signal over some distance from very short reach to short reach to long reach. And you want to be able to transmit over that distance at a minimal power level at a significant speed and you don’t want to see any signal distortion. So some combination of those would be, where we think that we’ve demonstrated performance levels, perhaps the distances and powers and with some signal integrity behavior that seems to be generating a fair bit of excitement at the customer’s desk.
Krishna Shankar - ROTH Capital: Okay. And then Jim, can you talk -- can you say anything about bookings during the current quarter and the trajectory of what you might see in terms of revenues or shipments in 3Q? I realize visibility is limited, but can you comment anything on the slope of shipments and the gross margins for the third quarter and for the second half of the year?
Jim Sullivan: Yes, let me -- following up on, I will take the gross margin first and since that was a question Gary had asked about as well. As we said on previous calls and probably said here today, we likely won’t see the gross margin improvements until earliest fourth quarter this year that we’ll be reporting first quarter next year. So that will stay pretty low. They obviously were negative this quarter primarily due to some higher testing costs. We had to do our firmware upgrade onto BE2 units pulling back in and sending back out more for our benefits than the customers, but that added some extra costs that pushed us into the negative. But I do expect those to improve. As Len said, we did already get some cost reductions, they will start taking place. I would also comment that if you look at our balance sheet, inventory was very low at the end of June, which actually was a timing issue, probably should have been -- would have been a lot higher a couple of days later. But looking at revenue in the third quarter and the lack of visibility, all I can say at this point it will be flat to down based on the backlog we have at hand and sitting here on the 22nd or the first month in the quarter. Obviously the size and stage we are at that can change at any point in time. So I don’t want to be overly negative or harsh, but right now with the visibility I have, and be flat to down, although I do expect the fourth quarter to be up based on what we’re seeing.
Krishna Shankar - ROTH Capital: Great. Thank you.
Jim Sullivan: Thank you, Krishna.
Operator: Thank you, sir. Your next question comes from the line of Jeff Schreiner from Feltl and Company. Please go ahead. Your line is open.
Jeff Schreiner - Feltl and Company: Good morning, gentlemen. Thank you for taking my questions. Len, is there something that MoSys can start providing, maybe some quarterly metrics? I would certainly look at maybe a target date for cash breakeven. Are there metrics that investors can start to look at and measure the company’s success by? In other word, four years into this transition as IT company, how can investors benchmark where we are today and where we should be 12, 24 months from now as MoSys continues to work on new products, such as lines BE, BE3 and start to ship initial productions. Are there some metrics you can provide to help us with that?
Len Perham: I will let Jim comment as well. But fundamentally, right at the beginning of this journey, we made the point to our shareholders that what we’re undertaking was to some degree a venture capital startup and the publicly traded company. And we’re traveling to that zone right now that privately held companies go through before they turn and the ramp starts going north and they start moving towards profitability or even into profitability and then they go do an IPO. If I use that model, we’re not at the point where we will be ready to do an IPO yet. I take a look at what have the NetLogic or for that matter a few other companies I could talk to as well. It takes a couple of years to figure out what to do, a couple of years to implement it and a couple of years to figure out if they worked. We said that while we are traveling in this zone where customers might place a fairly significant IT 1000 or 1000 or probably not many as 10,000 units that they pour into systems and they go out a new field trials and field deployments and then they might go quite while their customers are evaluating the behavior, the performance levels, the failure rates of the machines that our customers have built, that’s a still period for us. And we take the position right along that until we got beyond that, we wouldn’t start to try to provide guidance, it’s just too erratic. So I am going to let, Jim, comment on this, but until we make that turn and we start seeing the predictable 12 month or even beyond forecasted unit requirements, it’s difficult for us to say any rational -- anything rational and provide the information to let you gentlemen build up some perfected model, if you would like to correct. Jim?
Jim Sullivan: No, I think you summarized it well. And, I mean, the other the item we talked about, although we don’t quantify and set up is the metric is design wins. And as you can infer from Len’s opening comments, there is certainly lumpiness there in timing of design wins, et cetera. We had design wins sitting on the cusp at the end of the quarter, which is onset or likely to come in Q3, Q4. I don’t know, Len, hopefully said that we had some timing issues with customers transitioning the 20-nanometer FPGAs, so we are kind of sitting waiting for that transition to happen. We are pretty certain there will be design wins, et cetera. I mean, the other challenge is that all design wins are not created equal. So one design win with Tier 1 could equal multiple design wins elsewhere so that -- and volume estimates we get are obviously just back from customers. They don’t want to tell us too much at early stages, et cetera other than here in schematic, stay tune or be in touch for any parts, et cetera. So we’ve had a lot of discussion internally, but haven’t felt it’s time to put that as to a metric. On the other point, I think Len summarized it well too about our challenges and giving guidance and certainly the recent, the lack of visibility that we reported last quarter and still see today, further supports that at this stage of the company it wouldn’t be appropriate to give guidance. And with regard to breakeven, we closed the quarter with $40 million in the back, which at current burn levels if taken the burn for the first half of the year leaves us almost two years of cash. So I’m not in a position right now to look out into 2016 and project our burn and the adequacy of our cash, especially in this current environment with the lack of visibility. That said too, I think as Len commented towards the end of his prepared remarks once we get some of these products out here with the next generation Bandwidth Engine, LineSpeed, we will be in a better position to take a harder look at costs. Right now it’s challenging, we are driving towards getting these new products out.
Jeff Schreiner - Feltl and Company: Okay. And then just coming back to just that payment in terms of design wins, as a metric it’s certainly helpful metric. Could you just give us kind of a total number of Bandwidth Engine design wins to-date and kind of breaking it out by BE1 or BE2?
Len Perham: So I can comment on that. In the beginning of time, when we started winning designs back in 2012, of course they were all BE1. And then as BE2 became available, and remember that product was designed to be able to provide a specific solution to a Burst mode application or an access speed application or even some intelligent offload applications. It was uniquely -- the BE2 was -- and now that it was scaled so that the die is significantly smaller and lower cost for us to build. We crossed over probably, let’s just say, at the beginning of this year, so I don’t think about it too much. So that the activity for Bandwidth Engine in the sales funnel was swinging heavily to BE2. If we would have break it down in exact detail for what we saw in the sales funnel at the end of this most recent quarter, there would be not very much activity about BE1, substantial activity with BE2 and even the emergence of a bit of activity around BE3. So basically in today’s world you should assume that what we talked about in our design win area is Bandwidth Engine 2. We are not going to close any deals on BE3 until we can provide some reference boards and demonstrate in physical reality that the party is doing what it should do and that you interface to it and talk to it so on, so forth.
Jeff Schreiner - Feltl and Company: And just a follow-up based on some of the commentary around gross margin. Obviously negative this quarter, does it stay negative next quarter when we’re looking at it Jim? And then I think that you guys talked about seeing some of the improvements maybe by first quarter ’15, does that mean that those improvements lead to a gross margin greater than 50% or just a positive gross margin, just to kind of wrap it up? I mean, when are we going to get to a greater than 50% gross margin on Bandwidth Engine?
Len Perham: So first off, let me comment that we -- I actually went on with manufacturing team and we negotiated some better costing for ourselves that became effective on July 1st, then there is some other milestones we made that are going to be effective on August 1st. We are still moving reasonably low volumes. We are not going to be in the business of trying to build a lot of inventory around here. It would better off with cash than we are with silicon city in some storeroom somewhere. So the volume is going to be relatively low and you really do have to drive some volume before you’re going to start seeing the steep decline or steep incline, let’s call it, in gross margin as opposed to a falloff of the variable cost to go in the incremental unit getting dramatically smaller, right. But the fact is -- Jim comment as well, 50% gross margin is probably 2015, but it probably won’t be the first quarter. Jim, what do you think?
Jim Sullivan: Yeah. I mean, certainly, I’m not in the habit of projecting negative gross margins going forward and my projection show positive gross margins for the next two quarters going forward. And believe on the last call and I probably said this before with Bandwidth Engine 1, we’re going to struggle to get anything above the low 50% range, around 50%, the big die 65-nanometer, et cetera. But certainly with Bandwidth Engine 2, we’re in a position to drive cost lower with the much smaller die and frankly the benefit of Bandwidth Engine 1, so I think your timing is spot on. But certainly I anticipate being above 50% in 2015.
Jeff Schreiner - Feltl and Company: Okay. And last question for me, just in terms of overall mix in calendar year ’14 from Bandwidth Engine. What would you guys say based on the limited visibility you have, the mix is going to be between Bandwidth Engine 1 and Bandwidth Engine 2?
Len Perham: In 2014?
Jeff Schreiner - Feltl and Company: Yes.
Len Perham: So we projected from time to time that the largest volume should be BE1 in 2014, but the BE2 should be coming on pretty strongly. Quite frankly in light of these field deployment trials and so on and so forth, I don’t have a good feel for it now. I will let Jim again to comment as well. The average selling price of BE2 is somewhat higher than BE1. In terms of revenue, I suppose BE2 could cross over, but we should see revenue from BE1 and BE2 running along to ’14 and then in 2015 BE2 should quite dramatically pull away. Jim?
Jim Sullivan: Looking at the quarter we just ended and looking out through the remainder of 2014, I’d probably call it about a 70% BE1, 30% BE2 looking at shipments. Obviously, shipments because of sell-through, et cetera it don’t correlate with revenue recognition. Particularly, our Bandwidth Engine 1 shipments go through distributors in Japan versus Bandwidth Engine 2 is mostly going straight to customers. But I put it right now at about 70:30 mix for the year. It’s probably a little bit higher than that in the first half of the year, most skewed towards Bandwidth Engine 1.
Jeff Schreiner - Feltl and Company: Okay. Thank you for your time, gentlemen.
Len Perham: Thanks.
Operator: Thank you. Your next question comes from the line of Quinn Bolton from Needham & Company. Please go ahead.
Quinn Bolton - Needham & Company: Len and Jim, thanks for taking my question. Just wanted to come back Len the lack of visibility, sounds like it’s really just the trialing process that your customers are going through with at operators around the world and it sounds like you just don’t have great visibility as to when those trials end and when you move into volume production more so than designs you’re getting upgraded from BE1 to BE2, that’s not what’s going on, it’s really just the trial process.
Len Perham: Yeah. There’s absolutely no BE1 being upgraded to BE2 going on in the system in spite of the fact that people are often times switch to a product that has higher performance or lower power or whatever. BE, the Bandwidth Engine family of products is running very fast serial I/O and it’s not attributable to changing something that runs at the speed of today’s system. So BE1 is not being upgraded to BE2, that’s just not going on. The new systems will go BE2, new opportunities may go BE2. It will be a while before we see anybody trying to cross over.
Quinn Bolton - Needham & Company: Okay. And then I don’t know if you’ve commented, but obviously you’re waiting for some of the existing design wins to ramp, and again it sounds like a lot of that is going to be determined when the trial activity ends and when volume, production orders are released. But if you look at your design pipeline today and the value of those design wins, can you give us some sense to design wins in hand today to the extent that they all ramp the volume production? Does that get you 50% of the way to breakeven? Does it get you to breakeven? Can you give us some sense how dependent are you on new design wins to get to breakeven versus what you already have in hand today and you’re just waiting for production orders to be released?
Len Perham: I’m going to let Jim comment on that as well. My opinion is that we’re doing very, very well in our strong center, a lot activity in Asia. And I can see that ramping fairly nicely over the next couple of years. But in terms of when we think we’ll cross over, I’ll let you comment on that Jim.
Jim Sullivan: Sure. I mean, on past calls, I think this question come up as far as quantifying is that what you’re asking Quinn, as far as quantifying design wins et cetera. I think previously we’ve said our existing BE1 design wins could amount to $10 million to $15 million of annual revenue over time, looking back to the design wins that we had back in 2012 and a couple in 2013. In some of these FPGA-based design wins could run anywhere from $5 million to $20 million a year, when running in full production. Obviously, design wins which we could continue to pursue on the higher end, customer SoCs, ASICs can be $25 million and higher. So when I look at your point of where we’re at kind of to get to a breakeven level which I had said in the past is probably around a quarterly basis around $14 million of IC revenue. We’re a good chunk of the way there with the design wins we have. We obviously need to close more here particularly with BE2 and then obviously have some contribution from LineSpeed to put us over the hump.
Quinn Bolton - Needham & Company: Great. And then just you made they comment about taking a look at expenses once you complete tape-outs of the new LineSpeed product in Bandwidth Engine 3? And I guess, can you give us just some sense if production orders continue to be pushed out, is that what you take up a hard look at expenses? Or if you start to see the release of volume orders to sort of maintain the OpEx level sort of at roughly current run rates?
Len Perham: So, we’ve added some headcount this year. And anybody that -- so we’ve been adding some headcount this year. So the bottom line is we have a window of opportunities to get to with both Bandwidth Engine family and the LineSpeed family. And the case with Bandwidth Engine, we’re trying to meet some ships becoming available at partner shops, so that we move each other to certain points so that we’re characterizing parts on the same boards and so on and so forth. And once we get passed that we’re going to be able to take a look at organizational efficiency and so on. So ordinarily, when we’re waiting for company’s revenue to catch up with this cost basis, you try not to add anything to the cost basis. But the fact is in order to make a window in time, we’ve driven cost a little bit hard and we’ve used so much consultants and so on and so forth. And we will definitely appraise cutting back on external cost and pulling things back to a more sensible level while revenue catches up with costs here once the products are out looking good.
Jim Sullivan: I think, I just add to that, another benefit for 2015 will be lower tape-out and backend cost. With BE3 in the next generation, LineSpeed and as you refer to on the call from these side projects on LineSpeed. So we’ll have to be able to take those costs way down in ‘15. That will hit us during the second half of this year, but recurring ‘15 as we regroup and look ahead to what the next product is.
Quinn Bolton - Needham & Company: Yeah. But it sounds like there is no anticipation today that you would not sort of cut into the core R&D capability and development pipeline for future LineSpeed or Bandwidth Engine 4 type products. It’s really the consultants in some of the additional cost you’ve added this year that to hit this schedule for BE3 and LineSpeed.
Len Perham: That’s exactly right. It’s very, very difficult to build the team like this and you don’t build the team with the idea to do something and then be ready with the team. I mean, the heart of the company is that team. So we’ve done a lot of external stuff in order to create these chips. They are pretty sophisticated, especially BE3 is incredibly sophisticated. So some of the external cost to make all this happen can be cut back and we just need to get to the window and then we’ll take a look at that and meet our things back. And Jim’s right. There’s a very, very high level of engineering creating price of BE3 and indeed the LineSpeed family as well. And we won’t have any tape-outs of that level of complexity in 2015. It just won’t happen. So, we’re looking to a more cost effective yield that year ends and hopefully significantly increasing revenue as well.
Quinn Bolton - Needham & Company: Great. Thank you very much.
Operator: Thank you, sir. We have no questions at this time. I would now like to turn the call over to Mr. Len Perham for closing remarks.
Len Perham: Yes. Thank you all for coming and listening to us today and thanks for the very thoughtful questions. In closing, I would just simply like to say that we’re traveling along the path of publicly traded venture capital startup and the sign post we see along the way, a sign post that we’re familiar with. I’m never satisfied with how long it takes to get each thing done. And I’m always amazed that what kind of the assembling block that can come along to take a day here or day there. So as far as I’m concerned, everything we’re doing is a day late and should happen sooner. But the fact is I think we are going in the right place and we’re seeing familiar things happen and we’re optimistic we’re going to get to the right place. We really appreciate you guys getting up and tuning in and listening to us this morning. And we look forward to letting you know how we’re doing again next quarter. And hopefully we’ll be making some substantial progress to the end goal that we all want to achieve. Thank you very, very much. Bye now.
Operator: Thank you, sir. Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day. Thank you.